Operator: Greetings. Welcome to Gambling.com Group First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Peter McGough, Senior Vice President, Investor Relations and Capital Markets. Thank you. You may begin.
Peter McGough: Thank you. Hello everyone. And welcome to Gambling.com Group's first quarter 2025 results call. I am Peter McGough, Senior VP of Investor Relations and Capital Markets. And I'm joined by Charles Gillespie, Gambling.com Group's Co-Founder and Chief Executive Officer; and Elias Mark, Chief Financial Officer. This call is being webcast live through the Investor Relations section of our Web site at Gambling.com/corporate/investors and a downloadable version of the presentation is available there as well. A webcast replay will be available on the Web site after the conclusion of this call. You may also contact Investor Relations support by emailing investors@gdcgroup.com. I would like to remind you that the information contained in this conference call, including any financial and related guidance to be provided consists of forward-looking statements as defined by securities laws. These statements are based on information currently available to us and involve risks and uncertainties that could cause actual future results, performance and business prospects and opportunities to differ materially from those expressed in or implied by these statements. Some factors that could cause such differences are discussed in the risk factors section of Gambling.com Group's filings with the Securities and Exchange Commission. Forward-looking statements speak only as of the date the statements are made and the company assumes no obligation to update forward-looking statements to reflect actual results. Changes in assumptions or changes in other factors affecting forward-looking information except to the extent required by applicable securities laws. During the call, there will also be a discussion of non-IFRS financial measures. A description of these non-IFRS financial measures is included in the press release issued earlier this morning and reconciliations of these non-IFRS financial measures to their most directly comparable IFRS measures are included in the appendix to the presentation and press release, both of which are available in the Investors tab of our Web site. I'll now turn the call over to Charles.
Charles Gillespie: Thanks, Pete. And good morning, everyone. I'd like to start by thanking Frederic Burvall and Greg Michaelson, two of our longstanding directors whose terms ended at the AGM yesterday, for their wisdom, service and support of the company over the better part of the past 10 years and also welcome our two new directors, Fenton Costello and Jamie Mendal to the Board. It was just a short time ago that we reviewed our tremendous 2024 results while previewing the 2025 growth plan. The year is off to a strong start, as expected, with record all time quarterly revenue and adjusted EBITDA. Revenue rose 39% year-over-year to $40.6 million and adjusted EBITDA grew 56% to $15.9 million. With 24% of first quarter revenue coming from recurring subscriptions, we have transformed a marketing only business into a marketing and sports data services company with a substantial and growing percentage of highly predictable subscription revenues. Our competitive position in the global online gambling ecosystem and our sustainable growth opportunities have never been stronger in the company's 19 years. With our marketing business performing at all time highs and the significant expansion of our sports data services following the acquisition of OddsJam and OpticOdds on January 1st, we are confident in not only achieving our growth targets for the year but also delivering on our strategic objectives to expand beyond marketing and reach $100 million in adjusted EBITDA. The growth opportunity for OddsJam and OpticOdds is robust. The integration of these new sports data services is progressing as planned, and execution in this business continues to highlight the significant strategic and financial value this acquisition has brought to Gambling.com Group. Their entrepreneurial energy and ambition fits right in with our team of talented and accomplished entrepreneurs. It is great to now be working hand-in-hand with these talented operators. The consumerfacing part of the business, OddsJam, has a strong subscriber base that we are confident we can scale while maintaining margins and profitability. For the B2B side of the business, OpticOdds, we are just getting started with leveraging our reach and resources to grow enterprise subscription revenues. We continue to expect incremental adjusted EBITDA fromOddsJam and OpticOdds to grow by at least 20% this year, and we see attractive long term growth prospects for the current products. While the current suite of products has a very attractive growth opportunity, we now own a platform that is capable of powering a broader array of enterprise products and services to solve more problems for our online sports betting clients. Turning to our marketing business. Our iGaming led strategy continues to drive performance with iGaming revenues rising 24% year-over-year. This growth reflects solid organic growth complemented by contributions from Freebets.com and its related assets. We continue to grow our market share in the UK and the rest of Europe, and our North American sports betting business has now lapped its last quarter of difficult comparisons. For the full year 2025, we continue to expect our marketing business to grow in all of the geographic regions where we operate, including North America. We will add Missouri to our guidance once the launch date is clear. While the uncertain macro environment has recently created volatility in the capital markets and some uncertainty about the economy, I want to highlight that during the entire history of the online gambling industry, no economic slowdown has ever had any meaningful impact on the underlying growth of the industry. The online industry is fundamentally insulated from these economic effects as players don't have to travel to a land based casino to continue playing. We expect this current cycle will be no different from the other cycles the company has grown through since its founding in 2006. We can confirm that there have been no changes to our business volumes or expectations due to changes in trade policy. Furthermore, we do not expect any impact on our business from any change in tariffs, whether in the US or abroad. In addition to the resilient nature of online gambling, our strong competitive position sets us up to continue on our growth -- on our strong growth trajectory. Our industry leading brands such as Gambling.com and Bookies.com and growing brands like Casinos.com continue to drive market share gains. Our full embrace of AI has also accelerated our ability to keep improving upon our technology stack and digital marketing capabilities to continue to drive organic growth. On top of this, with the acquisition of OddsJam and OpticOdds, we have the best Odds data infrastructure in the industry and the revenue from that platform increases our overall revenue visibility. As a result, we are in our strongest competitive position ever and are thus well positioned to drive continued growth, profitability and free cash flow as reflected by our reiteration of our 2025 guidance, which will result in another year of record annual revenue and adjusted EBITDA, and move us increasingly closer to our next goal of $100 million in annual adjusted EBITDA. I will now turn the call over to Elias to review the first quarter's financial highlights.
Elias Mark: Thank you, Charles. First quarter revenues grew 39% year-over-year to $40.6 million. Our marketing business grew 13% as we delivered more than 138,000 NDCs to our customers, representing 29% growth year-over-year. Our sports data services business, which includes the first full quarter of revenue contributions from OddsJam and OpticOdds quadrupled. Subscription revenue was 24% of revenue. Inclusive of revenue share arrangement in our marketing business, recurring revenue was 50% of total first quarter revenue. Revenue grew in all geographic regions and we expect that to continue for the remainder of 2025. Gross profit increased 42% year-over-year to $38.4 million. Cost of sales was $2.2 million, which was flat year-over-year with lower media partnership fees offset by cost of sales related to the acquired OddsJam and OpticOdds businesses. While partnership fees were lower year-on-year, they were a bit higher than we had expected. Gross profit margin increased roughly 200 basis points compared to the first quarter of last year to 94.5%. Total operating expenses increased 50% to $28.7 million, primarily reflecting a significant increase in amortization from acquired intangible assets from the Odds Holdings and Freebets acquisitions. Operating expenses also absorbed the cost base of the Odds Holdings acquisition. Excluding the non-cash acquisition related amortization, growth in operating expenses was well under our revenue growth of [40%] for Q1. Adjusted EBITDA increased 56% year-over-year to another all time record of $15.9 million compared to $10.2 million a year ago. First quarter adjusted EBITDA margin was 39%, up 400 basis points from 35% in the year ago period. First quarter adjusted EBITDA margin would have been even higher if not for slightly higher-than-expected partnership share of revenue and its related cost of sales, as well as investments in an ambitious product roadmap. Typical softer seasonality combined with product investments will naturally result in sequentially lower margins in the second quarter before expanding in the second half of the year as we move into the seasonally stronger sports calendar and our current wave of product investments start to bear fruit. Adjusted net income for the first quarter of 2025 rose 78% to $16.5 million from the year ago period. Adjusted net income was positively affected by the strengthening of the euro versus the US dollar when translating balance sheet items at [indiscernible]. Adjusted diluted net income per share increased 92% to $0.46 from the year ago period. As a reminder, in Q4, we revised the way we define adjusted net income to more closely align adjustments we make to adjusted EBITDA. This is to improve the like-for-like comparability between periods. Free cash flow was $10.3 million, up 25% from the earlier period. Free cash flow in Q1 reflects strong growth in adjusted EBITDA, partly offset by the timing of tax payments and working capital movements related to the settlement of transaction expenses for the Odds Holdings acquisition. As of March 31st, we had total cash of $21.5 million and $70.5 million of undrawn capacity on our credit facility. On April 1st, we made the final payment of $11.2 million for the Freebets.com acquisition using cash balances. In total, we have drawn $94.5 million on our $165 million credit facility. Effective on April 1st, we entered into a swap agreement to effectively convert our $75 million of US dollar term loan to euro borrowings. This lowered our cost of debt capital by approximately 200 basis points. The swap transaction also aligned our borrowings with our functional currency, eliminating the corresponding ForEx translation effects in our income statement moving forward. Our free cash flow and borrowing capacity continues to provide the flexibility to pursue both acquisitions and to optimize our capital structure to maximize shareholder value over time. As Charles noted this morning, we reiterated our full year guidance with a midpoint of our revenue guidance of $172 million, representing 35% year-over-year growth. The midpoint of our adjusted EBITDA guidance of $68 million represents 40% year-over-year growth. This guidance assumes a resumption of growth in North American marketing business, continued global market share gains as well and well over 20% of full year revenue coming from recurring subscriptions. As per usual, our guidance does not include contributions from any new acquisitions or any new market launches. While we expect Missouri to launch sports betting in the second half of this year, as per our policy, we will not include it in guidance until the launch date is confirmed. Our guidance also assumes an average euro to USD exchange rate of 110 for the year. Operator, we will now turn the call for questions.
Operator: [Operator Instructions] Our first question comes from Ryan Sigdahl with Craig Hallum Capital Group.
Ryan Sigdahl: So I want to start with kind of an industry topic, across not just your own industry but many, but AI search, growing interest from consumers where there's ChatGPT, Perplexity, et cetera. Apple also reported browser search was down in April for the first time. So curious, I guess, what Gambling.com is doing to keep its content in focus as there's still consumer demand but as that behavior is changing and how they're viewing content, finding content? And do you view this as an opportunity or a risk?
Charles Gillespie: To give some context here, Apple executive Eddy Cue stated in a court hearing that from Apple's perspective, search volume on Safari had peaked in April. Google immediately shot back with a statement contradicting this, saying that, they continue to see search volumes climb from Apple's devices, and Google reported a 10% increase in global search volume in Q1. From our perspective, we are seeing all time high revenue from our marketing business, which continues to be fundamentally driven by natural search from Google and we are not seeing any pullback or fundamental shift in search volumes. Now having said all that, we do continue to see more and more referrals from these generative AI experiences like ChatGPT and Perplexity. The chart is a hockey stick basically. But starting from -- it was zero a couple of years ago, so starting from a low base it was growing very, very quickly. And that traffic is very high intent. It's similar but really even better, even more high intent than the traffic we get from Google search. And it feels incremental, given that the level of referrals from natural search is not falling. Users using these AI tools have a deeper relationship with the tool than a simple drive by search. They get context, they ask specific questions, they steer the conversation where they need it to go. And almost by definition, they are more high intent given the increased effort required and the longer engagement provided by the conversation. So we love high intent traffic and we are indifferent as to the source of it. To the extent that more and more of this high intent traffic arrives via these tools, these AI tools, it reduces reliance on the Google organic search channel. And I've been thinking a lot recently about all of this, as I'm sure a lot of people in digital marketing have. And I'll add that the monetization paradigm of these tools seems to be opposite of Google. Where users are happy to pay for the service outright, obviating the need for the AI tool to monetize the actual content provided to the user. If we allow ourselves to be optimistic here, this could be a boon for people like us, publishers of high quality content and mark the beginning of a new era online where advertising is simply less central to the experience. But at the end of the day, there are alternatives to Google search but all the other search products have ads. But these generative AI experiences, there's no ads. So kind of all the traffic is organic. It's almost a cleaner, more direct relationship with the consumer. So the numbers are great. We're still making a ton of money from Google natural search. We're now also making money off of these generative AI experiences and we're pretty excited about the future.
Ryan Sigdahl: I want to switch over to OpticOdds. You mentioned some success there. Last quarter, you mentioned kind of the top [indiscernible] asset at OpticOdds was in Malta running through Gambling.com's global client list. Curious for any updated details, anything you can share there on how those conversations and that cross sell is going?
Charles Gillespie: OpticOdds is flying. It's certainly the highest -- it's certainly growing. I mean, OddsJam is also obviously growing but OpticOdds is growing even faster, probably the fastest growing piece of our entire business. I think that trip was productive and eye opening and we just hired a senior sales person based in London to help distribute that product more broadly in Europe. So we've had one quarter, right? It's still very early but the plans and hiring and roadmap are well in motion and we expect the growth there to continue at a high level for some time.
Operator: Our next question comes from Jeff Stantial with Stifel.
Jeff Stantial: I want to ask, we heard from Penn last week that they were turning back on performance marketing after leaning primarily on ESPN and reactivations for a handful of quarters. I'm curious if this specifically has been a material growth driver so far? And then more broadly just how you think about the potential for other operators to start to dig in a bit deeper here just as some lower CAC channels get exhausted or sort of start to naturally decelerate?
Charles Gillespie: That would be consistent with our entire experience of having run this business for 19 years around the world. These operators, obviously, if you can acquire customers cheaply, you do it. But as you say, those channels get exhausted, gets more competitive, all the low hanging fruit is plucked and then where do you find players? Well, the affiliate channel. There's a reason it is central and fundamental to all these operators' marketing strategies and all of these different markets around the world. So to us, it's absolutely no surprise whatsoever that an operator like Penn would reach this conclusion. If anything surprising, it's that it took them as long as it did to reach that conclusion. But Penn as client, there wouldn't be an enormous client at this exact moment in time. They have been an enormous client in the past, particularly around the point when ESPN BET launched. But we welcome, of course, any increase in demand from our customers.
Jeff Stantial: And then turning over to guidance, Elias, I think you said the assumption for the euro went from 107 last quarter to 110. Can you just quantify for us the impact from the higher euro on the actual revenue and the EBITDA guidance? And then I just -- I guess, should we be interpreting the reiteration of guidance to mean that you might have been tracking more to the lower end if the euro didn't kind of help out here or maybe now you are tracking above the midpoint with the benefit of FX? Just any help there kind of thinking about, I guess, the constant currency implications would be great.
Elias Mark: A couple of things there. Obviously, it's very hard to guide on ForEx -- future ForEx movement expectations in the current market has been very volatile. If we look at Q1, we had big positive translation effects from balance sheet items at the end of the quarter. But if you look at the P&L, we didn't see any big positive effects because the average rate was more or less in line with our expectations. We've assumed 110 for the remainder of the year, that's -- it could go above, it could go below. I would note that a much higher proportion of our -- both our revenue and our operating expenses are denominated in US dollars now after the last few years of acquisitions. So any positive or negative effects from ForEx movements have less of an effect than they would have had last year or two years ago. As you noted, we have moved up marginally the assumptions from the euro to USD rate, which has a slight positive effect on our revenue but it's not big enough to move the needle. And nothing has really fundamentally changed in our revenue expectations or EBITDA expectations for the balance of the year.
Operator: Our next question comes from Barry Jonas with Truist Securities.
Barry Jonas: I wanted to see if you'll share any thoughts on what the path could look like to get to your $100 million EBITDA goal. Really any color on business line or product composition, what M&A means to getting there and then timing would be helpful?
Charles Gillespie: With guidance this year putting us on $68 million at the midpoint, we're going to be 68% of the way there this year. Obviously, we do do M&A, that's the big delta here. If we find another acquisition that ticks all the right boxes for us, and reminder we're very picky about M&A, then it could shorten the time line meaningfully. But we're still a high growth business even without M&A. So with a nice acquisition, it could happen very soon. But without that, it would, all things equal, take another year or two. So we don't want to put a specific year on it but it doesn't take a whole lot of imagination to see that we could get there pretty quickly if we did another acquisition of meaningful size.
Barry Jonas: And then just for a follow-up, on the OSB side, there's been investor concerns around decelerating handle trends for North American operators. I think you've talked about this in the past. But one, are you seeing anything concerning there and two, what's your latest thinking about rev share versus CPA mix in the current environment?
Charles Gillespie: There were some stats around MBA, GGR that were like down year-on-year. There's no read through on that to the rest of the American OSB market, I think that's an NBA specific phenomenon. Everything we're seeing, all the data supports the fact that in Q1, OSB grew like 15% nationally in the US, iGaming grew substantially faster than that still. So zero concerns. It's a little curious data point but zero concerns. In terms of rev share and CPA, I mean, we -- nothing's fundamentally changed. We remain philosophically agnostic as to the benefits of either one of those. What we do is model it. We use our sophisticated data science teams to estimate the value of all the deals available to us and then we pick the one that we think will make us the most money. Now having said that, we -- this year, we expect 25% of group revenue to come from recurring subscription revenue. So that's B2B enterprise sales and that's B2C customer subscriptions, stuff like OpticOdds, OddsJam and then RotoWire itself has a data services business. But when you look beyond that and you include the kind of recurring proportion of our marketing business, whether it's a pure revenue share deal or it's a hybrid deal and a portion of it is revenue share, you get to -- from our seat here, looking at the full year, we expect over half of group revenue, so it's another 25% of revenue is recurring in that nature. So total group revenue, which is recurring in one way or another, is going to be more than half of group revenue this year. But again, we're not specifically targeting that. We're not trying -- it's not a specific goal of ours to grow that recurring proportion of our marketing revenue but it naturally builds up and grows as it is frequently the best monetization vehicle available to us.
Operator: Our next question comes from David Katz with Jefferies.
David Katz: Charles, you are, I believe, in a unique position to opine and convey what you're seeing with respect to the topic of handle growth. There obviously is a bit of a debate at the moment about what the trajectory of US handled growth is looking like. And I would just welcome your perspective on sort of how you would characterize the sort of growth in handle in the US, please?
Charles Gillespie: I think there's a lot of cross currents under the surface, which are making it a little more confusing for people to understand. But that mixed shift is what's happening. But fundamentally, in aggregate, the market is growing. I mean, we've got an interesting and unique perspective but at the same time, we follow a lot of these industry data sources and all of those are pointing to double digit gains in Q1 OSB growth. So we're certainly not seeing any slackening in our business but we're doing a lot more with things like same game parlays, that's a product which is a home run for the operators, they want that traffic, they're now very actively looking for it. And they want to collaborate with companies like ours to give them more of that type of traffic specifically. So we've built on the back of our fantastic technology stack a variety of really interesting same game parlay tools, which are available across different sites of ours and that's helping drive more engagement on that type of product. But yes, I think it's just getting kind of more complicated but in aggregate, it's very clearly still growing.
David Katz: And if I can just ask maybe an easier one. We saw a bit of news about perhaps iGaming legalization, I believe it was in Ohio. Can you maybe just give us an update on your board of sort of iGaming legislation if you think we may get some this year? I know, it's -- everyone has their own sort of opinions about it, but yours is highly valuable.
Charles Gillespie: I mean, it has been a little quieter this year than I think we all would have liked. The developments at Ohio are positive. And what I really like about the Ohio approach is that they're talking about sweeping reform and having one regulator regulate a rebooted gaming economy. It's not -- you're not going to have three or four different regulators. You're going to have one new one, which is going to oversee the whole the whole thing, which is absolutely the right way to do it. We -- this isn't news. We know this already. All you have to do is look at all the various examples from around the world. So look, that would be great. Ohio is a great market, competitive market, lots of different operators, that would be clearly a really nice step in the right direction. But nobody's asked about prediction markets yet but that's kind of related here. Because the legal situation with these prediction markets is getting incrementally more clear, which means that category is going to grow very rapidly and the tax rate is zero. So that's dramatically more interesting from a business perspective than paying these sometimes very high state gaming duties, which some states are even trying to increase. So it's a really interesting one to watch and the big operators out there are certainly looking into it and evaluating the feasibility of providing their products and services under that regulatory regime, which look, I think it just keeps -- it's going to keep everybody honest, right? It forces the state gaming regulators to think about everybody's economics here and make sure that they're competitive in the broader marketplace.
Operator: Our next question comes from Clark Lampen with BTIG.
Clark Lampen: My first question is sort of a follow-up on iGaming in the US. I'm curious if you could give us an update on Casinos.com, where you are in the process of sort of building domain authority, traffic? And if there's any way that you guys have sort of thought about revenue upside or how that brand might perform when you start to get into an earnest, an iGaming legalization cycle in the US? Second question that I have is, going back to I think some questions that were asked earlier around the $100 million EBITDA target. I'm curious, I know this year, OddsJam and I think the sort of newer subscription businesses that you've been building out are going to represent something like 25% of overall mix, if I heard you correctly earlier. Have you thought about or tried to dimensionalize when you reach $100 million whether it is revenue or EBITDA. Where should the relative mix of sort of performance and I guess kind of if you were to bucket it broadly non-performance businesses land?
Charles Gillespie: So we're here in Charlotte at the moment. We had our big management summit earlier this week and got updates from all the teams, including Casinos.com. And we've got some very interesting stuff coming up in the pipe with Casinos.com. We're trying to develop a unique tone of voice with that product. And they've got like comedians involved to write some of the content and just meaningfully differentiated from other products in our portfolio. They're doing a lot of creative and interesting stuff and the numbers are trending up very nicely in the past six months. It's still a young product and still has some ways to go but we're doing all the right things. It's very much headed in the right direction. And they're doing really cool stuff. Like for example, today, May 15th, they have declared, with the help of the Mayor of Las Vegas, International Casinos Day. So this is a big kind of PR push by the Casinos.com team to leverage that brand and get exposure around the world and not just in the US. That's the other thing to bear in mind is Casinos.com, yes, of course, it has US revenue but it's a global product, because there's a lot of casinos around the world. On the $100 million in margins, the OddsJam and OpticOdds business, when we bought it, had actually slightly higher adjusted EBITDA margins than our marketing business. It's an incredible business and we don't see that fundamentally changing. So when you get to $100 million in adjusted EBITDA, okay, if you look at the figures today, it's 25% of the business. It's growing faster than than the marketing business. So maybe it's 30%, 35% or 40% of the business but the margin profile is fundamentally the same. So I'd expect the margin profile of the sports data services to be -- the contribution to adjusted EBITDA to be $30 million, $35 million or $40 million depending on how that plays out, but incrementally more than the marketing business.
Operator: Our next question comes from Chad Beynon with Macquarie.
Chad Beynon: I wanted to ask about Brazil. I feel like we've heard from some of the operators down there that it's been a little bit of a slower start than anticipated, yet everyone still has pretty high total addressable market sizing for that market. What are you seeing? I know that it's a big market with a lot of different operators, which I think is probably the best model for you guys. But are you working with different partners? I know, it's going to be a long haul there. And how have the expectations for 2025 changed in terms of what feeds into your model?
Charles Gillespie: Our strategy in Brazil has been very much wait and see and frankly still is. We have not done any M&A there, we have not made any big organic push there ourselves. and we've never had meaningful revenue from Brazil. All of our peers that had meaningful revenue from Brazil have been digesting some extremely challenging comps as the market has regulated, taxes have gone up, et cetera, et cetera. We've reviewed it plenty of times and the math is challenging. It is competitive, there's lots of operators, sensible taxes. But at the same time, there's local regulations about how you have to run your business with a local entity and then there's challenges on getting money out of Brazil, which make it less attractive. We are continuing to take calls on M&A opportunities in Brazil. We remain interested. We'd like to have the right Brazilian business but we are going to be as picky and cautious. We're probably going to be even pickier and even more cautious than we are in any other given market given the operating challenges we've seen from our peers in that market.
Chad Beynon: And then another question just kind of going back to some of the noise that we saw in the first quarter. I guess this one would be related to potential tax increases. We're still seeing in the trade rags that New Jersey is still contemplating this. But when the noise is heightened with a lot of your partners in the U S with respect to potential tax increases, I know most of them haven't happened but there's just been a lot of headlines. What happens with the conversations with you and your partners? Are they trying to pull back, are they more hesitant? I'm sure it's maybe even a time to lean in. But just trying to get a sense if we do see some tax increases in the US, what happens with your partner's goal to grow NDCs through affiliates?
Charles Gillespie: To the extent that states raise gaming tax rates, it does, of course, negatively impact player lifetime value, but over time, not immediately. At the end of the day, that's the pool of value that we're all working off of. So if that pool gets smaller, there's less to go around. But in our experience, it takes -- it can take a year for that to kind of play out and it doesn't get fully passed on to us. So it's not a positive development but it's not it's not particularly challenging either. The rates, the deals, they just adjust and everyone presses forward. These -- again, with these prediction markets probably about to experience hyper growth, I think that has the chance to keep these state gaming regulators honest and make them think twice about raising taxes.
Operator: Our next question comes from Mike Hickey with The Benchmark Company.
Mike Hickey: Just I guess, on your near term guidance, outside of FX contribution or not, just curious how you guys are thinking about potential upside scenarios here, especially we've got Missouri, which is in your guidance. I think we're still planning for Alberta in early 2026. So I'm guessing from your business standpoint that, that would be in in 2025. So it just feels like your business is strong here, maybe better than you're expected in 1Q and then you've got sort of upside baked into your numbers here. Just curious, if we're thinking about that right.
Charles Gillespie: So one of our big projects this year is the rather substantial revamp of the consumer side of RotoWire. The internal codename is Project Purple Rain and that's going live at some point this summer. So it's not just a refresh of the brand, it's a fairly substantial refresh of the fundamental product. The data underlying that business is tremendous and that data will continue to be the centerpiece of the product suite. But that is a big focus of our team at the moment and that has the potential to outperform.
Mike Hickey: On the prediction market opportunity, it sounds like you're very enthusiastic. I mean, what do you think, Charles, from your view? Operators need to be more confident that we in fact have a very durable regulatory framework here so that they can invest monies on the marketing side. And then this just seems like on the surface like a massive opportunity for you guys just thinking about sort of many states kinda legalizing here at once. So curious if you could just sort of frame that for us the best you can. And then do you feel like you're sort of positioned today here, if it's sort of we get the framework we need, I guess it's already there but there's more belief that it's sustainable like you positioned to sort of benefit immediately, Charles. Do you feel like you have to make some acquisitions or deals or sort of how would you sort of position the framework of your company to benefit from the prediction market?
Charles Gillespie: So there's been a couple of different court decisions, call sheet keeps winning. The prediction markets companies keep winning. So that's providing incremental clarity that this is okay. But the big fundamental question here is do the states have authority to override the federal government on this? Can they -- the federal government's got a fully fledged regulatory framework for this, which it has had for decades. Right now, of course, it's being kind of expanded into newer categories. But it -- this has been there for a long time. It's never really been challenged. But now that it's overlapping, you could argue somewhat with these state gaming regulators, although, it is a very different product. Can the state gaming regulators kind of say, look, you can't do this, stop it, tax it. Do they have a say in this? And that's the big question at the moment. Given the kind of form in terms of court victories, it seems unlikely that they do, but this could be the next [indiscernible]. This one could grind on and go to the Supreme Court. So I don't think any of us are going to have perfect clarity anytime soon, unfortunately, but that's life. Ultimately, there's no fixed number of skins. Anybody can go and assuming they're fit for purpose, apply and theoretically get regulated to do this if they have the right control framework and everything else. So you could have quite a few entrants coming into this category. Obviously, it's more than just call sheet that's excited about this, although, they do seem to be in the lead. And from our perspective, yes, there's not really anything to buy. It's a brand new category. And this is also our bread and butter. We produce content about interesting gambling or gambling related products and it's quite straightforward for us to just kind of expand our coverage to cover this new category. So I don't see any meaningful OpEx or M&A required to tackle it and we'll do our best from our seat here to help everybody out. We have relationships, commercial relationships with a lot of these companies already. We have revenue from this category. It's small but it's potentially could be very substantial over the coming years. I think it's not going to explode next quarter but it's -- when you think about the next couple of years, this could be a very meaningful feature of the US marketplace.
Operator: We have reached the end of our question-and-answer session, which concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.